Operator: Hello, everyone, and welcome to Bladex's Second Quarter 2020 Conference Call. On the 28th day of July 2020, this call is being recorded and is for investors and analysts only. If you are a member of the media, you are invited to listen-only. Bladex has prepared a PowerPoint presentation to accompany their discussion today. It is available through the webcast and on the bank's corporate website at www.bladex.com. Joining us today is Mr. Jorge Salas, Chief Executive Officer; and Ms. Ana Graciela de Méndez, Chief Financial Officer. These comments will be based on the earnings release, which was issued earlier today and is available on the corporate website. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995 and the Section 21E of the Security Exchange Act of 1934. In these communications, we may make certain statements that are forward-looking such as statements regarding Bladex's future results plans and anticipated trends in the market affecting its results and financial condition. These forward-looking statements are Bladex's expectations on the day of the initial broadcast of this conference call. And Bladex does not undertake to update these expectations based on subsequent events or knowledge. Various risks uncertainties and assumptions are detailed in the bank's press release and filings with the Securities and Exchange Commission. Should one or more of these risks and uncertainties materialize or should any of the underlying assumptions prove incorrect actual results may differ significantly from the results expressed or implied in these communications. And with that, I am pleased to turn the call over to Mr. Salas. Please go ahead.
Jorge Salas: Thank you, Cary, and good morning, everyone for joining us today to discuss our second quarter results. Today, I'm joined by Ana Graciela de Méndez, our CFO; and a few members of the team. This morning I will be talking about our balance sheet management during the quarter. And then Ani will discuss the P&L implications of it. After Ani's remarks, I will make some closing comments and then I will open it up for questions. Before we dive into the balance sheet, I want to update you on our business continuity plan. The fact is that close to 95% of our staff is still working from the home and our BCP remains in place. We continue to serve our customers without any interruptions while keeping our employees safe and very engaged. I would like to start my comments today by referring to the main message we conveyed a little over three months ago in our last call when discussing our first quarter results. As some of you may recall back in April, we emphasized that beyond the bank's historically solid capital levels, our business model allowed for the unique ability and I want to stress, the unique ability to rapidly adapt to changing market conditions. I'm going to take it a step further now and argue that our business model becomes a comparative advantage that is especially relevant in the current context. Let me elaborate a little bit more on this. We all know that catering exclusively to corporate clients significantly reduces the credit risk in the portfolio. Approximately half of our portfolio is comprised of financial institutions. And the other half are basically top-tier corporations in the region. Bladex has zero exposure to the retail or small business segments which have been impacted the most by the crisis. Moreover, unlike most banks operating in the region, our loan portfolio is essentially short term. The short-term nature of our portfolio not only becomes a selective liquidity buffer, but also when combined with the regional footprint, allows the bank to swiftly relocate the portfolio in resilient sectors and lower risk countries across Latin America. As we anticipated in our previous earnings calls and as you will see now successfully handling the different levers, embedded in our business model has proven to be incredibly valuable in managing our balance sheet during the second quarter. As you can see in slide 3, we started the quarter with roughly $5.8 billion in Commercial portfolio including almost $500 million in contingencies essentially trade letters of credit. The average yield in our portfolio back three months ago was LIBOR plus 194. In slide 4, you can see that we had almost $2 billion maturing during the quarter. I'm happy to report today that we were able to collect over 99% of all scheduled maturities for $2 billion and even had some prepayments of approximately $222 million. We only had roughly $20 million in loans that were successfully restructured during the quarter and are now current. This we believe is a clear demonstration of the sound credit quality of our loan portfolio. As you may see in slide 5, we disbursed over $1 billion during the quarter at wider spreads, averaging LIBOR plus 365 basis points. This $1 billion in disbursements were done after contacting every single client, reassessing the industry risk under COVID-19 for the entire portfolio and tightening our underwriting standards. The math is very simple. $2 billion mature and we're almost all essentially collected on time while disbursements were $1 billion at almost twice as spread. The result on slide 6, $1 billion decrease in the Commercial portfolio equivalent to 16% done by design to further strengthen our liquidity position in times of uncertainty. Slide 7 shows our asset size remained basically unchanged. Obviously however the reduction on the loan portfolio balances 16% coupled with the increase in liquidity that went from roughly 20% at the end of Q1 to almost 30% of total assets or $2 billion by June 30 have impacted the results for the quarter. Ani will explain the effect on P&L later in the presentation. The end result is a lower risk profile of the portfolio. As shown in slide 8, we ended the quarter with three percentage point's increase in exposure to investment grade countries now accounting for 58% of the total portfolio and continued important stake of 52% in top-tier financial institutions which we consider among the most defensive due to the regulated nature of the sector. The remaining exposure is well diversified among sectors and countries. Slide nine portrays the change on the liability size of the balance sheet compared to last quarter. Our deposit base which has historically represented a stable cost-effective funding source increased by $417 million or 17% quarter-on-quarter with an increase in the relevant participation from our Central Bank shareholders now representing 52% of total deposits. Again a clear demonstration of their continued support doing uncertain times. On the other hand the bank also was able to tap on the capital market and bilateral funding sources throughout the world increasing the tenor of our borrowings and debt from 10 to 16 months and benefiting from the decreasing interest rate environment. It's also worth mentioning that after the repayment of a 144a bond for $250 million last May, we successfully issued a long-term local bond in the Mexican market through which we were able to raise the U.S. dollar equivalent to approximately $230 million. This was our fifth issuance in the Mexican market and one that marked a significant milestone being the first issuer to relevant tap that market since the pandemic started. I'm going to leave it there for now and hand the call over to Ani our CFO to comment on the financial results for the quarter.
Ana Graciela de Méndez: Thank you Jorge and good morning to all. So let's move on to Slide number 10 on second quarter results of operations. Net income for the quarter was $14 million representing a 23% decrease quarter-on-quarter and a 37% year-on-year, mainly on lower interest and fee revenues, down a combined total of $5.3 million impacted by the bank's decision to increase its liquidity position and to lower loan balances in view of the current market environment as Jorge mentioned. Fees were also down on the absence of transactional structuring and syndications activity for the quarter in the current context. In addition the combination of losses on financial instruments for $3.9 million mostly related to an unrealized loss of the debt instrument measured at fair value through profit or loss and the release of $2.6 million in credit provisions resulted in a net charge of $1.3 million in overall as a deterioration for the quarter. All of these were compensated by a $2.3 million or 22% reduction in operating expenses. Profits for the first half of 2020 totaled $32.4 million, down 26% year-on-year reflecting similar trends as those mentioned for the quarterly results. Lower profits on a stable and solid level of equity of over $1 billion, resulted in decreased return, recording close to 6% ROE both, for the second quarter and the first half of the year. As of June 30, 2020, Tier 1 capital ratio under Basel III methodology, increased 4.5 percentage points from the previous quarter to 24.8%, reflecting lower risk-weighted assets on the account of decreased loan portfolio balances, while asset quality remained sound. Net interest income or NII presented on slide 11, decreased to $21.7 million in the second quarter. And net interest margin or NIM of 1.28% was down 31 basis points quarter-on-quarter, mainly due to the change in asset completion whereby low-yielding average liquidity increased by 144% to an average of $1.9 billion during the quarter, representing 28% of total average assets from 12% in the previous quarter. Meanwhile, average loan portfolio decreased by 15% quarter-on-quarter to $4.8 billion, representing 70% of average assets from 86%, in the previous quarter. As a result of this change in asset composition and also considering a 5% increase in average interest-bearing liabilities, the net change in volumes resulted in a net negative impact of $6.6 million in NII. This was partly compensated by the rate net positive effect on NII, amounting to $2.5 million, as the bank's interest rate gap was favourably positioned, in a decreasing market rate environment. So that liabilities re-price at a faster pace than loans, during the quarter. In addition, the bank was also able to increase net lending spreads, taking advantage of new lending opportunities, at risk-adjusted price level. So excluding the liquidity component, the differential between loans and funding rates widened 46 basis points during the quarter, reaching 1.99% in the second quarter of 2020, compared to an average of around 1.5% in previous quarters. For the six months ended June 30, 2020, net interest income totaled $47.5 million, down 15% from the year before, while net interest margin of 1.43% decreased 34 basis points on the same period. This is explained by the change in asset mix alluded to before as well as by lower market rates impacting the overall yield of assets, financed by our ample capital base. On to slide 12, during the second quarter of 2020, the bank recorded credit provision reversals totaling $2.6 million, mostly related to the sale of its single remaining credit impaired loan or NPL in the sugar sector of Brazil for $0.19 on the dollar, compared to a previously allocated individual Stage 3 reserve of 86%. This sale resulted in a $52.1 million write-off and a $2.7 million Stage 3 credit provision reversal, bringing NPL balance to zero at June 30, 2020. The bank's combined total of Stage 1 and Stage 2 allowances for credit losses was relatively unchanged with respect to March 31, 2020 balance. This was the result of lower reserve requirements on decreased end-of-period credit portfolio balances reflected in the $974 million reduction in Stage 1 exposure. This was offset by the increase of $136 million in Stage 2 exposure, as the bank made a downward revision in the outlook for certain countries mainly Argentina and for certain clients impacted by the current environment. Having said this, exposure that we have assessed as high-risk under the current context was reduced by $185 million to 11.1% of the portfolio during the second quarter, highlighting the collection of maturities and prepayments amounting to $79 million in the airline industry. Other sectors in this high-risk category are oil and gas upstream and its supply chain, sugar, retail and auto industry among others. None of these sectors represent more than 2% of total portfolio aside from oil and gas upstream, which accounted for 2.9% of the portfolio at June 30 and it's mostly with a quasi sovereign entity with a split sovereign support in an investment-grade country. Overall, the bank's total allowance for credit losses represented nearly 1% of total credit portfolio at June 30, 2020, 100% of which remains current. Credit provision reversals were offset by a $3.9 million loss on financial instruments, most of which was related to the decrease in fair value of a debt instrument recorded as part of a loan restructuring back in 2018. Continuing on to Slide 13. Operating expenses for the second quarter of 2020 decreased by 22% quarter-on-quarter to $8.3 million, mainly due to decreased salary and other employee expenses on the account of reduced performance-based variable compensation provisions. Year-to-date, expenses were down 8% to $18.8 million, also on lower personnel expenses as well as on cost savings in other expenses. Efficiency ratio stood at 41.5% for the quarter and 38.7% year-to-date despite this expense reductions mainly on lower revenues. I will now turn the call back to Jorge for his final remarks. Thank you.
Jorge Salas: Thank you, Annie. So to put this all together, I will say that the high-quality of our client base and the levers embedded in our business model have allowed us to successfully navigate this crisis up until now. Significantly increasing liquidity in a matter of weeks and collecting over 99% of maturities close to $2 million across all industries all countries in a timely matter is perhaps the clearest demonstration of that. Having said that, we're cognizant of the significant challenges that lie ahead. 2020 GDP estimates for the region are close to negative 9.5% now. Moreover most of the countries in Latin America have limited fiscal room and are still trying to figure out how to gradually reopen their economies, while keeping the spread of the virus under control. In this context after more than three years of conducting business in America in several negative cycles in regions Bladex has a good understanding of the changing circumstances and the macroeconomic dynamics of the different countries in the region. Moreover being a long-standing ally of our clients throughout many of these crisis gives us a good grasp of their strengths and their challenges. We believe that in general our clients mostly industry leaders in their respective markets with ample liquidity and funding sources will not only be able to navigate the crisis, but are well-positioned to take advantage of the opportunities that will arise for them in their sectors. Bladex will continue to be there supporting them. I'll now open it up for questions. Thank you.
Operator: At this time, we would like to open the floor for questions. [Operator Instructions] Looks like our first question will be from Jim Marrone from Singular Research.
Jim Marrone: Yes. Thank you for taking my question. So I guess, my first question it would be in regards to slide number 11. So it's just looking at the favorable interest rate gap position in the decreasing market rate environment and the widening of lending spreads. So I think I also heard the comment that you've increased some of the loan capacity to certain sectors. Perhaps if you can just comment again perhaps on the sectors and which sectors are seen as more favorable? And which ones are going forward? And maybe if you can discuss again the country, exposures and what your position in the future? And then I have a follow-up question after that.
Jorge Salas: Okay. So thank you for your questions. That's several questions in one if I understood correctly. Ani, why don't you start with the interest rate and spreads question and then I'll tap into the sector's questions.
Ana Graciela de Méndez: Sure. So as I mentioned the net interest margin in general has been impacted due to the asset completion the change in mix because we did increase our average liquidity and decreased average loans. And of course, liquidity yielding close to 19 basis points has had an impact in the net interest margin. But I also mentioned that, we have seen a widening of net lending spread and that you can see in the graph, in that page 11 that you mentioned that we increased the differential between lending in that and funding rates by about 46 basis points, I'm sorry to 199%. So at the end of the day, the combination of both the impact of lowering interest rates in our balance sheet, which I also mentioned was favorably during the second quarter because the liabilities re-priced faster. And then on the other hand, our lending did decrease. So this widening of spreads did not fully impact the net interest margin at least not yet. So, I don't know if – if that is clear enough? Or if you want a follow-up question or maybe Jorge you can address then the country and sector question.
Jim Marrone: Yeah. That's fine. The next question could be answered yes.
Jorge Salas: Yeah. So, regarding the sectors. So, we see demand in top tier banks so lower risk. Those are systemically important banks in low risk countries with a central bank with a lot of higher power. Then, we have the food industry. We have the utilities, I mean, power generation distribution, communications those are oil and gas imports. I mean, those are all sectors where we're seeing a lot of demand.
Jim Marrone: Okay. Very good. And just one other question in regards to governments in the countries that you operate. So there seems to be a growing concern in regards to the large amount of deficit and debt that governments are taking on in order to stimulate the economy and kind of ride through this pandemic. So, can you just maybe provide just some brief comments on how the rising government debt and deficits could impact the operations of Bladex?
Jorge Salas: I mean, certainly, it's – it's very difficult times to for most countries in Latin America. Also, it seems like the epicenter of the pandemic has moved to Latin America. So that places even more challenges. Now, the most vulnerable countries we see are Argentina in Ecuador, due to their weakness in their fundamentals and they need to restructure their debt. We've been reducing exposure in both countries even before the pandemic started more in accordance to our historically conservative approach. But I mean, we lend in say in 17 different countries. I mean, they're all different realities. In effect as we mentioned before the shift on our lending strategy has been more towards, investment grade countries, which is almost 60% of the portfolio today. But, yes, certainly important challenges in most countries. We've seen also devaluations of their currency in protecting their international reserves. And we've also seen very active multilateral aid, especially from the IMF very recently. I don't know if that answers your question?
Jim Marrone: Yes. That's great. Thank you for the comments.
Operator: Thank you. It does look like we have a web question. And it says, I understand the need for liquidity, but with $2 billion in cash earning less than 0.2% and with only $450 million in the market cap trading at 57% discount to book. Has there been any consideration of any stock repurchases, considering it would result in 9% return from dividends and increased net book value per share. Thank you.
Jorge Salas: I will let -- sure, yes. Ani, why don't you answer that?
Ana Graciela de Méndez: Okay. Yes first of all on the liquidity, of course, we do see the liquidity position, obviously, temporary while this crisis has -- particularly during the second quarter there was a short visibility of the impact going forward. We have reinforced our funding structure even more and we continue to maintain a very diversified funding structure. We are also seeing new lending opportunities, which we still tend to get or go into new lending or increased lending under still prudent credit underwriting standards. But we do expect that the liquidity that you saw of over $2 billion should be a top that should start to -- to start to reduce and we should start to see increase in lending going forward at a slow pace, I might add. So just to point out that the liquidity position is pretty much temporary that on one side. And then, on the other side, on capital management overall, we do discuss this on a quarterly basis with our Board. Both in capital management in general and dividends, as we just saw, in particular, the bank has historically and in recent years maintained a very solid capital position. That's pretty much characteristic due to the fact that we do operate in a very volatile region. And more so in this -- in the current context. So we -- as I said before, as we increased our assets, our lending, our risk-weighted assets should adapt to more recent past level and which should decrease our capitalization in terms of the capital ratio somehow. But still -- we will still continue to have and manage the bank very conservatively in terms of our capital position. And as it has been our recent history for -- as an indication I can tell you that in the last five years our Tier 1 capital ratio has been 19% on average. So that gives you an indication of how we have managed the bank and the importance that we give to our solid capital position. I don't know if that answers the question
Operator: Thank you. Our next audio question will come from Pavel Oliva from Rockhill Global.
Pavel Oliva: Hi, good morning. I wanted to follow-up on that question. You reduced the dividend I think a quarter or two quarters ago and given how well you manage the asset quality and liquidity do you -- and where the share price is what would it take to restore the dividend back? One. And two, have you at least discussed with the Board that the buyback possibility because from a shareholder standpoint, it's probably the best investment you can make at this point. Thank you.
Jorge Salas: Yes, I mean it's a very good question. First of all as you all know the dividend policy is up to the Board and it's a quarterly decision based on the results for quarter, so I prefer not to speculate on until we did this. We did maintain the dividend from last quarter, but more with the historically high levels of capitalization of the bank are a reflection of the volatile nature the region we operate in. And I can tell you though that capital preservation will continue to be a priority for sure during this time at least until we have some more visibility on how this whole situation is going to evolve. And we have yes ongoing conversations with the Board on obviously the future of the bank. I want to stress though that we do have a very robust pipeline and are ready to grow our balance sheet again.
Pavel Oliva: Great. Thank you.
Operator: Thank you. Our next question will be from José [Indiscernible] from MetLife.
Unidentified Analyst: Yes. Hi. Thank you for taking my question. Do you hear me?
Jorge Salas: We do.
Unidentified Analyst: Yes. I just wanted to follow-up on your country concentration specifically on Argentina. Does that increase -- does that increasing the closure have more to do with the loan shrinking or is there more lending in the country? And if it's the latter, could you please give some detail on where you're lending just given the fact that you downwardly revised the outlook for the country? Thank you.
Jorge Salas: Sure. So, in Argentina, it's more shrinkage than -- I mean in absolute terms, we decrease -- I mean Argentina at the end of June, we had $180 million as opposed to $226 million at the end of December 2019. And we have previously by the end of 2018; we have above $600 million. So, main part of it is explained by the largest integrated oil company in the country, state-owned that had history of no default even under sovereign default in the past. So with oil prices picking up now, we feel fairly comfortable with that exposure.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question will be from Robert Tate from Global Rational Capital.
Robert Tate: Hi, there. Can you hear me?
Jorge Salas: Yes. Hi, Robert. How are you?
Robert Tate: Hi, Jorge and hi, Ana. Yeah, I just had two questions and then one request. So, firstly, I would just like to congratulate you on the Conservative loan portfolio. It seems that the past work you've done to reduce the risk has paid off with very low impairments. And also, your presentation is quite nicely set out and informative. So, thank you for that. So Jorge, I just have a question for you and maybe Ana can comment as well. Please would you elaborate on the magnitude and recoverability of the airline loans? And please could you comment on the impairment indicators? And to what extent provisions have been raised for these loans? For example, in Latin financed like from news it was reported that Bladex made a small $30 million loan to LATAM airlines in January 2020, and I presume they are indicated for this loan because the airline filed for Chapter 11 credit protection. So, obviously I don't expect to go to any detail in any particular loan, but just generally, if you could just comment on the magnitude and recoverability of the airline loans and impairment indicators and whether there's any provisions raised so far?
Jorge Salas: Yes. Thank you, Robert. That's a very relevant question. Good news, we've been successfully reducing our exposure in the airlines industry as much as 54% quarter-on-quarter. So, we do have exposure with two of the main airlines in the region. One is headquartered in Panama and the other one in Chile. And yes, there is, obvious impairments on the one Chile. And I can tell you that we are actively monitoring the Chapter 11 process on LATAM. But we feel comfortable with the research we have there.
Robert Tate: Okay. Thank you. The second question is just based on your comments on the loan portfolio and the conservative nature of your balance sheet at the moment. It appears to me that the likelihood of Bladex, having a surprising, large loan impairment at this point is fairly low despite the magnitude of this crisis. Would you agree with this assessment? Or is that too difficult to say even at this point?
Jorge Salas: I would agree. Obviously, we cannot rule that out. I mean, it's very uncertain times. We are monitoring our portfolio very, very closely. We're talking to our clients on a regular basis. We believe we have good provisioning. But, I mean the truth is -- is that -- I mean nobody knows when this is going to end. So aggregate demand is it's a concern going forward, but we do feel very comfortable with the health of the loan portfolio today.
Robert Tate: Okay. Thank you. Sorry.
Ana Graciela de Méndez: If you allow me. Yes, I just want to add that as you know we follow IFRS 9 accounting norm. So we already incorporate forward-looking expected trade losses in our reserve model. So in the allowance for credit losses that we have as of June 30, 2020, we have already incorporated these forward-looking expectations in our reserves as it pertains to the current portfolio. So I can also add that Stage 1 and 2 excluding the NPLs that we got rid of during the quarter Stage 1 and 2 reserves coverage has gone up by 30% since the beginning of the year or 22 basis points. So we have been incorporating forward-looking expectations of our portfolio in the analysis of countries and sectors and client specifics. So I just wanted to add that.
Robert Tate: Okay. Thank you, Ana. Great. And then just one last request. I just want to mirror the comments or made by the other call in regards to dividends and share buybacks. In particular, the share buybacks and the comment that it would be difficult to find a better investment at this point in time. So, I mean, is there -- if it's possible to even just to have a discussion with the Board on those points, obviously, the dividend is discussed constantly. But share buybacks I don't think that Bladex has done a share buyback before. And I expect part of the reason is also just because of the liquidity of the shares. But if it's possible to have a discussion with the Board, I think the shareholders will probably appreciate that.
Jorge Salas: I'm sure. I mean, we do have open discussions with the Board about this topic and other relevant topics. I can tell you today the focus is to keep navigating the storm the way we're doing it. But certainly that discussion takes place. Sorry, but I cannot elaborate more on that.
Robert Tate: Thank you.
Operator: Thank you. [Operator Instructions] I'm showing no further questions in the queue at this time. I'd like to turn it back over to our speakers for closing remarks.
Jorge Salas: Yes. So if there are no more questions, I want to thank you for joining the call. Thank you for the support in Bladex, and please stay safe and healthy. Thank you very much everybody.
Ana Graciela de Méndez: Thank you. Good morning.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may now disconnect.